Operator: Greetings and welcome to the Alfacell Corporation firstquarter 2008 results conference call. (Operator Instructions) It is now mypleasure to introduce your host, Mr. Larry Kenyon, Chief Financial Officer andChief Operating Officer. Thank you, Mr. Kenyon. You may begin.
Lawrence A. Kenyon: Thank you, Anthony. Welcome, everyone and thank you forparticipating in the Alfacell Corporation fiscal first quarter 2008 updateconference call for investors and analysts. My name is Larry Kenyon and I amAlfacell's Chief Financial Officer and Chief Operating Officer. With me todayis our Chairman of the Board and Chief Executive Officer, Tina Shogen. Before we begin, please allow me a moment to read our SafeHarbor statement. This presentation includes statements that may constituteforward-looking statements usually containing the words believe, estimate,project, expect, or similar expressions. Forward-looking statements involverisks and uncertainties that could cause actual results to differ materiallyfrom the forward-looking statements. Factors that would cause or contribute tosuch differences include the risks discussed in the company’s periodic filingswith the Securities and Exchange Commission. By making these forward-looking statements, the companyundertakes no obligation to update these statements for revisions or changesafter the date of this release. Thank you for your patience. Tina will make a few commentsto begin the call, after which I will provide a brief overview of our firstquarter results. Both of us will then be available to take questions at the endof the call. Tina.
Tina Shogen: Thank you, Larry and good morning to you all. Fiscal year2008 is off to a very promising start as we look to complete the transformationthat began in 2007. Our primary goal and objective is close to fulfillment aswe near the completion of our confirmatory Phase III clinical trial of ONCONASEfor the treatment of patients suffering from unresectable malignantmesothelioma. Our primary focus over the months ahead is the completion of thePhase III trial and the rolling NDA, and we also -- I would like to also addthat the dedication and the loyalty of our investors, employees, andcollaborators have made this very possible. Because we are now so close to the completion of the trial,our transformation is moving to the next phase with a focus on taking steps tomaximize our future success. While we continue to advance the scientificknowledge surrounding our unique and proprietary [revenue cases] and theplatform, the scientific advances will need to be made in an environment thatwill coordinate those advances to commercial goals and objectives. To that end, we recently began making changes to our managementteam that formally recognize the evolution that has been taking place atAlfacell over the last year. I would like to take this time and opportunity toformally congratulate Larry Kenyon on his promotion to Chief Operating Officerand his election to the Board of Directors, and also acknowledge hiscontribution to the Alfacell team. I will now ask Larry to provide an overview of our firstquarter results.
Lawrence A. Kenyon: Thank you, Tina. As we are pleased to announce in thismorning’s news release, we are now at 307 evaluable events in the ONCONASEconfirmatory Phase IIIb clinical trial. We will begin the required statisticalanalysis upon achieving 316 evaluable events. During the fiscal first quarter, we also continued to workon our Phase I-II oncology program. We continued to plan for Phase II clinicaltrials as we await the completion of enrolment in Phase I. However, as Tinajust mentioned, our primary focus continues to be the preparations andcompletion of the rolling NDA. This was true of our fiscal first quarter andwill continue to be true until the task is completed. Because the end of the Phase III mesothelioma is imminent,we do not plan to begin a Phase II clinical trial in an oncology indicationuntil after the Phase III trial is complete. Simply put, initiating a Phase II clinical trial while weare working to complete the Phase III and prepare for the statistical analysisof the data could potentially distract key members of our clinical regulatoryteam from our key priority, which is to quickly and efficiently complete andsubmit our rolling NDA for ONCONASE as a treatment for malignant mesothelioma.We will now allow such a distraction to occur. Our first quarter 2008 financial results met ourexpectations. The net loss was approximately $2.7 million, or $0.06 per share,an increase of approximately $300,000 compared to the first quarter of 2007.First quarter 2008 R&D expenses were essentially unchanged while generaland administrative expenses increased by approximately $200,000 compared to thefirst quarter of ’07. This increase was primarily related to increasedcompensation expense from employee stock option grants. Additionally, investment income decreased by nearly $100,000due to lower cash and equivalent balances available for investment during thefirst quarter of fiscal 2008. Cash and equivalents on October 31, 2007 were approximately$5.4 million, a decrease of approximately $1.6 million from July 31, 2007. Weestimate that our cash and equivalents should be sufficient to allow us tocomplete the submission of our ONCONASE NDA. This estimate assumes receipt ofproceeds from the sale of our New Jersey State tax loss carry-forward, apositive outcome for the Phase IIIb clinical trial, and then our projected costsfor the completion and submission of the NDA are accurate. At this point in the call, Tina and I will now be happy totake your questions.
Operator: (Operator Instructions) Our first question comes from theline of Stephen Dunn with Dawson James. Please proceed with your question.
Stephen Dunn: Good morning, Tina and Larry. Thanks for taking my call.Just a couple of questions here; you’ve got additional -- you’ve got 12 newevaluable events since mid-October and it looks like to date, you need aboutnine more. I’m calculating that would be around mid-January, possibly a littlesooner. Is that your timing as well?
Lawrence A. Kenyon: I think that’s reasonable. At this point, we’re so close tothe end we’re not really interest in playing the game of trying to peg exactlywhen that last patient will cross the finish line, but I think that’sreasonable with our estimates at this point.
Stephen Dunn: All right. Assuming that’s in the ballpark, how long beforewe have the top line data crunch announced?
Lawrence A. Kenyon: For us, the plan is like this: we will announce when we hit-- or actually when we’ve confirmed that we’ve hit 316 evaluable events and aspart of that confirmation and sitting down with our team internally, we’ll beable to announce at that time when we would expect to have that informationavailable. Internally, it’s probably at least a month out from that point butwe’ll know more when we get there.
Stephen Dunn: Since you have a rolling NDA in process, could you tell mewhat parts have been submitted already?
Lawrence A. Kenyon: Well, we’ve announced I think in previous public filings,public statements that the CMC section was submitted near the beginning of2007, calendar year. We are nearly complete with the second module and at thesame time, we are also working on everything we can in advance of the clinicalsection actually having the data, preparing the format for tables and the like,so that we can move it as quickly as possible. So we are probably two of thethree modules are in or nearly in, and then that will leave us with just thefinal section when we get to 316 events.
Stephen Dunn: This one’s kind of a fuzzy question -- I’m sure you arespeaking to potential partners that are following ONCONASE. I guess in light ofyour recent webcast, talking about ribonuclease versus RNAI, are yourpartnership discussions -- would you characterize the potential partners asseeing the similarities in more of the looking at ONCONASE as an RNAI likedrug? Or are they looking at it more as a first-in-class ribonuclease drug?
Lawrence A. Kenyon: I think the excitement that’s out there and the interestfrom potential partners is that this is a first-in-class compound and they seethe potential utility in a broad range of treatment, first and foremost inoncology.
Stephen Dunn: All right. Thanks very much. I’ll jump back in the queue.
Operator: Our next question comes from the line of Raymond Myers withEmerging Growth Equities. Please proceed with your question.
Raymond A. Myers -Emerging Growth Equities: Thank you. Good morning and congratulations, Larry, for yourpromotion. Well-deserved, I’m sure and congratulations to all of you,especially Tina for getting us to this point. This is really a criticalmilestone is right upon us. Let me ask you about the 12 events that have happened sincethe October 15th update. At that time, we had talked a little bit aboutpatients who had been lost to follow-up and you were working diligently to findthese patients and identify whether they were in fact confirmed events. Haveyou found any of those patients?
Lawrence A. Kenyon: We’ve tracked down everyone in the study at this point, Iguess except for maybe -- just a couple but that’s not a material number. We’reconfident that the number we have as of right now is the most up-to-date numberwe could have.
Raymond A. Myers -Emerging Growth Equities: And how many of the 12 events that have occurred since thatlast update were due to finding patients who were lost to follow-up?
Lawrence A. Kenyon: I don’t have that in front of me for the call. Sorry.
Raymond A. Myers -Emerging Growth Equities: Was it a one or two or three or was it a substantial amount?
Lawrence A. Kenyon: Well, we’re talking about 12 patients total so substantialis not a big number but it’s probably -- I think at the time, we had less than10 patients we were looking to find two months ago when we spoke and we’veresolved all those 10 patients. I’d say roughly half of those patients wereprobably evaluable events and the rest of the deaths were probably just newevents.
Raymond A. Myers -Emerging Growth Equities: Okay, great. As of when is this 307 patients? I know youperiodically get your updates. Is it as of today or was it as of last week oras of when?
Lawrence A. Kenyon: It was as of this morning, as far as I know. But honestly, Ididn’t get any updates over the weekend so it was as of Friday afternoon.
Raymond A. Myers -Emerging Growth Equities: And are you now getting updates almost on a real-time basis?
Lawrence A. Kenyon: Yes, we are tracking constantly.
Raymond A. Myers -Emerging Growth Equities: Okay. And I understand why you are putting off starting thePhase III studies until you get the data -- I assume it’s not just getting the316 events but getting the data from the study.
Lawrence A. Kenyon: You’re talking about the Phase IIs?
Raymond A. Myers -Emerging Growth Equities: Yeah.
Lawrence A. Kenyon: There’s a -- as you know, Ray, we’ve got 15 employees atAlfacell. We’ve got a dedicated group in our clinical regulatory team here. Thesame folks that are involved with working so hard on the modules for therolling NDA and preparing everything for the final clinical section of the NDAare those same people that would be involved with getting protocols approved atIRBs, getting that in front of the FDA. And while this is all important work forus and we continue with planning for those Phase IIs, that actual on-the-groundwork that needs to be done would pull people away from what really needs to bedone on the Phase III and the rolling NDA. And we thought that given theimportance of that program, we need to get that done first.
Raymond A. Myers -Emerging Growth Equities: That makes sense. When do you anticipate partnering themarketing and sales of ONCONASE, assuming the data comes out favorably here inthe first half?
Lawrence A. Kenyon: Could you repeat that again? I’m sorry.
Raymond A. Myers -Emerging Growth Equities: Say in the first half of next year, the data comes back veryfavorable and you complete the submission of your NDA. When would youanticipate partnering ONCONASE for marketing and sales?
Lawrence A. Kenyon: Well, actually putting our signatures on paper, we don’thave a target date for that. I can speak to the fact that we’ve continued tohave ongoing discussions with interested parties even as we are talking rightnow and when one of those would actually get to the point where we are ready toput ink to paper is tough to say in terms of relation to data and all of that. But understand that we’ve continued to have goodconversations with potential partners out there. Partnering ONCONASE formesothelioma and oncology indications is the number one priority from acommercial point of view and we would expect that that would be the next stepshortly here.
Raymond A. Myers -Emerging Growth Equities: Okay, that’s great. And then finally, I’m getting calls frompeople who are excited about your usual annual meeting and you haven’t made anyannouncements. Do you still anticipate having an annual meeting in the firstquarter?
Lawrence A. Kenyon: Actually, we put out our proxy. We filed a proxy at the endof November and the date of the annual meeting is January 30th in Somerset, NewJersey.
Raymond A. Myers -Emerging Growth Equities: And is it going to be a similar type of event as in prioryears?
Lawrence A. Kenyon: Well, I’ve got one of them under my belt. It will be similarto last year’s.
Raymond A. Myers -Emerging Growth Equities: Okay, great. That’s great. Thank you and congratulations. Welook forward to continued progress.
Operator: Our next question comes from the line of Arthur Barry, aprivate investor. Please proceed with your question.
Arthur Barry -Private Investor: Good morning. I’d like to get a little understanding onabout three or four different occasions, you said that ONCONASE improvesradiation treatment but you really never alluded to starting a clinical trialand I was always curious by the fact that I think through the various types oftests that you’ve been able to conduct, that you really can see I think quiteobviously that it does enhance radiation treatment and why this hasn’t taken amuch, much higher profile with the company.
Lawrence A. Kenyon: Well, Mr. Barry, just to let you know, we’ve been tyingtogether all of the pre-clinical data, this wonderful pre-clinical data that’sbeen developed by Dr. Lee and others, and as part of our Phase II planning, Ican tell you that we definitely are considering radiation enhancement as apotential for a Phase II program here at Alfacell. We’ve just been in the process of putting together potentialprotocols and trying to lock down potential study sites and trying to work thatas part of our overall plan for the oncology program here as we move forwardafter [mezzo]. So don’t think that it isn’t under consideration and I thinkas we have the opportunity to announce our Phase II plans at some point here inthe not-too-distant future, there’s definitely a likelihood that radiationenhancement could be part of that program.
Arthur Barry -Private Investor: Do you know how large a market that might be? Just aguesstimate.
Lawrence A. Kenyon: Well, just about everyone who gets treated for oncology, foran oncology indication gets radiation at some point in their therapy so itcould be a very large market.
Arthur Barry -Private Investor: Okay. Thank you.
Operator: Our next question comes from the line of Eduardo Seda withCapital Growth Financial. Please proceed with your question.
Eduardo Seda -Capital Growth Financial: Most of my questions have been already answered. I justwanted to take the occasion to congratulate you guys and wish you luck. Can youwalk me through the finance part a little bit? Why $5.5 million as of October31st [will be enough]?
Lawrence A. Kenyon: Sure, Eduardo. One thing that we’ll be looking at here iswe’ve -- as you know, historically the company sold their New Jersey State taxloss carry-forwards and we’re expecting to do that again here in the very nearfuture. That combined with the $5.5 million we have as of October 31st shouldgive us enough money to get through October 31st of next year and that shouldbe more than enough time to get an NDA submitted and processed with the FDA.
Eduardo Seda -Capital Growth Financial: Okay, so if I’m reading you correct, it’s like if you haveyour data back on January, it will take four months between January andsubmission?
Lawrence A. Kenyon: That’s the goal, yes.
Eduardo Seda -Capital Growth Financial: And how long are you thinking it will take for the FDA tocome back with an answer?
Lawrence A. Kenyon: Well, it would be a six-month review period.
Eduardo Seda -Capital Growth Financial: Okay, so we’re talking about 10 months total -- 10, 11months total?
Lawrence A. Kenyon: Correct.
Eduardo Seda -Capital Growth Financial: Okay. Now, in between that time, you’re not going to doanything with the second phase?
Lawrence A. Kenyon: No, that’s not what we’re saying. What we need to do -- forus, the heavy lifting is right here where we wrap up the Phase III, lock downthe database, prepare for the statistical analysis, and then begin the writingportion for the module III. Once we’ve got that under control and we know wherethis is going and how much resources that’s going to take from a peopleperspective, then we’ll be able to focus on launching the Phase II. Do not think for an instant that we have stopped planningfor Phase II at this point. That is not the case. It’s really just on theexecution side where we actually have to pound the pavement, talk to the IRBsat different sites, coordinate that with the FDA and get approval on that endto start the Phase II component of these studies.
Eduardo Seda -Capital Growth Financial: Okay. Last question is are you taking into consideration anyallowance of money for the Phase II when you restart it at some point in thesecond or third quarter of next year?
Lawrence A. Kenyon: Yes.
Eduardo Seda -Capital Growth Financial: Okay, so part of the resources you are using out of that $6million or whatever it is, is going to go to Phase II?
Lawrence A. Kenyon: Yes.
Eduardo Seda -Capital Growth Financial: Okay. Larry, thank you very, very much. Bye, Tina.
Operator: (Operator Instructions) The next question comes from theline of Sal [Saraceno] with Griffin Securities.
Sal Saraceno -Griffin Securities: I won’t take long. I had to step away for about fiveminutes, but I’m back. I don’t know if this question has been asked. I was justcurious; I’m hedging on the side of optimism, of course, and looking forward toseeing your data on ONCONASE. Assuming that we are all -- assuming that we areenthusiastic about how that, what those results are, what was in the pipelinein ’08? Any new initiatives that you’d like to prioritize? Obviously theradiation program is very exciting and has a great deal of potential. Anythingon a personal level that you’d like to accelerate within that pipeline that youthink has merit? Thank you.
Tina Shogen: We’re looking at a number of opportunities. Obviously whatwe have decided on internally and from our advisory board is if we are lookingfor where do we have the most pre-clinical evidence, is it a doable trialthat’s not going to take forever, is the patient population that we’retargeting, and also we have to have a clear path to regulatory approval. So those are the indications that we will be tackling, wherewe have the most evidence and the easiest path. Clearly we want to be embarkingon a program that is doable and will get us quickly to the end goal of anadditional indication. So clearly if we have a lot of evidence in the lungindication, for example. We talked about that. We had talked about [inaudible]and again, we are looking at patient populations which are doable and where wecan -- where the investigators are able to get that [type of patient] inbecause right now, the FDA really requires for us to be very careful -- notonly Alfacell but anyone embarking on a program, it has to -- you can’t just goand say well, we’re going to do this. It doesn’t make any sense.
Sal Saraceno -Griffin Securities: Sure. I understand.
Tina Shogen: But we definitely are planning as we have always planned,but those three criteria have to be met.
Sal Saraceno -Griffin Securities: Of course. I understand. Lawrence, congratulations on yournew appointment and I look forward to visiting both in New Jersey in the earlypart of the new year and saying hello. Thank you so much for taking myquestions. Have a wonderful holiday.
Operator: There are no further questions at this time. I would like toturn the floor back over to Mr. Larry Kenyon for closing comments.
Lawrence A. Kenyon: Thank you, Anthony and thank you all for participating inour fiscal first quarter 2008 update conference call. This is an exciting timeto be at Alfacell as we reach the finish line and prepare to complete ourrolling NDA for ONCONASE. For many of our colleagues and stockholders, this mayfeel like we are reaching the end of the road. For newer members to the team,like myself, we view the events expected to occur in the upcoming weeks andmonths as the foundation for a new and exciting Alfacell, full of newopportunity and additional promise. Tina and I appreciate the dedication of our investors,employees, and collaborators that have made it possible for us to reach thiscritical point in our company’s history. Thank you for your loyalty and yourcontinued support. Goodbye.
Operator: This concludes today’s teleconference. You may disconnectyour lines at this time. Thank you for your participation.